Operator: Welcome to Hafnia's Third Quarter 2025 Financial Results Presentation. We will begin shortly. We will be brought through today's presentation by Hafnia's CEO, Mikael Skov; CFO, Perry Van Echtelt; Soren Winther, VP, Commercial; and Thomas Andersen, EVP, Head of Investor Relations. They will be pleased to address any questions after the presentation. [Operator Instructions] During this conference call, some statements may be considered forward-looking, reflecting management's current expectations. These statements involve risks, uncertainties and other factors, many of which are beyond Hafnia's control that could cause actual results, performance or plans to differ significantly from those expressed or implied. Additionally, this conference call does not constitute an offer or solicitation to buy or sell any securities. With that, I'm pleased to turn the call over to Hafnia's CEO, Mikael Skov.
Mikael Opstun Skov: Thank you, and hello, everyone. We appreciate you joining in Hafnia's third quarter 2025 earnings call. My name is Mikael Skov, CEO of Hafnia. And with me today is our CFO, Perry Van Echtelt; our VP of Commercial, Soren Winther; and our EVP and Head of Investor Relations, Thomas Andersen. Earlier today, we released our Q3 2025 results, which are now available on our website. During this call, we will walk you through our quarterly performance, discuss key market developments and share updates on our financial position. We will also present our sustainability initiatives before opening the call for questions. Let's move to the next slide. Slide #2. Before we proceed, I would like to go through our safe harbor statement. The information discussed on this call is based on information we have today, which may include forward-looking statements that involve risks and uncertainties. Actual results may differ materially from these statements. Nothing presented on this call should be construed as an offer to buy or sell securities. Thank you for your attention. With that, let's begin with a review of our results for the quarter. Next slide, Slide #4. The product tanker market started out this year on a softer note, but it strengthened significantly through the third quarter. Higher trading volumes and strong refinery margins drove this. Much of the growth came from increased export flows out of the Middle East and Asia with clean petroleum products on water continuing to rise throughout the quarter. This strong backdrop supported the spot market, and I'm pleased to share that Hafnia delivered another excellent quarter. For Q3, we achieved $150.5 million in adjusted EBITDA and a net profit of $91.5 million, our best quarter so far this year. As part of our fleet renewal strategy, we also sold four older vessels, all built between 2010 and 2012. Finally, in September, we announced a preliminary agreement to acquire 14.45% of TORM shares from Oaktree. This was followed by a binding share purchase agreement, and we are now waiting for the appointment of a new independent board chair at TORM before we can complete the acquisition. Moving on to Slide #5. Next, I'd like to give you a brief overview of Hafnia and highlight our key investment attributes. Hafnia is a global leader in the product and chemical tanker space. We operate one of the largest and most diversified fleets in the industry. As of the third quarter, we own and chartered in 126 vessels with an average fleet age of 9.6 years, significantly younger than the industry average. At the end of the quarter, our net asset value was approximately $3.4 billion, translating to $6.76 per share or NOK 67.55. Beyond our core fleet operations, we continue to give strength through our complementary business platforms. We commercially manage about 80 third-party vessels across 8 pools, and our bunkering procurement platform supports both Hafnia's vessels and external partners, creating additional scale and efficiency benefits. Let's move to the next slide, which is Slide #6. Another key investment attribute of Hafnia is our transparent and consistent dividend policy. We have delivered dividend consistently over the past several years, and our goal has always been to make them sustainable and predictable across the market cycle. Our net loan-to-value ratio improved from 24.1% in the second quarter to 20.5%, supported by strong operational cash flows. Approximately $100 million was used to repurchase vessels on the sale and leaseback financings. In addition, vessel market values have also recorded a slight uptick compared to the previous quarter. In line with our dividend policy, we are declaring a payout ratio of 80% for the quarter. This corresponds to a total cash dividend of $73.2 million or $0.1470 per share. For shareholders receiving dividends in Norwegian kroner, the exchange rate will be based on the value date, which is two business days before the payment date. With this quarter, we now mark 15 consecutive quarters of dividend payments, underscoring our commitment to consistent shareholder returns and long-term value creation. Soren Winther, our VP of Commercial, will now share the industry review and market outlook.
Søren Winther: Thank you, Mikael. Let me begin with a review of third quarter market conditions within the product tanker market segment, where Hafnia primarily operates and then share our outlook for the months ahead. The product tanker market started 2025 on a softer note, but showed countercyclical strength throughout the third quarter, supported by higher trading activity and tonne-miles. Clean petroleum product volumes on water for 2025, continue to track above the 4-year average, with Q3 showing an unseasonal increase compared to previous years. Importantly, the corresponding rise in daily loaded volumes suggest that total oil and water is being driven by higher export demand rather than longer voice distances. Moving on to Slide 9. While high clean petroleum product volumes usually correlate with stronger earnings, the earnings recovery this quarter was more modest, yet 18% stronger for [indiscernible]. We also saw a strong rebound and ton-days during the third quarter, supported by tight gasoline and distillate supply in Europe, stemming from ongoing refinery closures. This dynamic has driven tonne-miles and supported strong trading margins out of the U.S. and the Eastern basin. Moving on to Slide 10. On the supply side, despite continued newbuild deliveries in 2025, overall fleet growth has remained limited. This primarily is driven by continued vessel sanctions, and the migration of LR2s into Aframax dirty trading. Year-to-date, roughly 88% of the coated LR2 newbuilds have migrated into the dirty market, supported by a stronger crude earnings environment. In effect, the Crude segment has absorbed about 45% of the 2025 coated newbuild program, significantly minimizing increases in clean trading deadweight. Moving on to Slide 11. Beyond the LR2 migration, sanctioned vessels also play a significant role in tightening fleet supply in 2025. The U.K., UN and OFAC have collectively sanctioned more than 400 tankers this year, with roughly 25% of them operate in product segments. This is supportive for product tankers. As it effectively reduces available supply and also limits crude cannibalization, contributing to a tighter overall supply-demand balance. EUs 19th sanctions package, adds another 19 vessels to this list with the new addition split evenly between dirty and clean trading. We estimate that approximately 280 additional vessels have engaged in trade with sanctioned regions, signaling the potential for further sanctions. The dark fleet refers to targets with questionable ownership and an older age profile, while the grey fleet is associated with more reputable ownership. Moving on to Slide 12. Bringing together the topics of LR2 migration and vessel sanctions detailed in the previous two slides, overall, clean petroleum product capacity growth in 2025 has been unlimited. Year-to-date, around 12 million coated deadweight has been delivered. We had only about 1.1 million deadweight has effectively entered clean trading. This translates to approximately 0.5% net growth in clean product tanker supply. Moving on to Slide 13. Looking ahead, the supply outlook is less concerning than initially feared or reported. If we apply a 72.5% crude migration factor to future coated LR2 deliveries over the next 3 years, this implies roughly 11% fleet growth based on the current order book. However, nearly half of that growth is concentrated in 2026 driven by a heavier delivery schedule in the first quarter. Slide 14. Clean product cannibalization remained a real threat in Q3 with cannibalization volumes exceeding the 3-year average. Despite this, clean product earnings proved resilient throughout the quarter. On a positive note and looking ahead, the current strong earnings environment in the VLCC and Suezmax segments has reduced cannibalization volumes for November to nearly zero. This sets the stage for a robust outlook for the remainder of 2025 into Q1 2026. Moving on to Slide 15. Apart from the factors we have discussed, the continued aging of vessels and potential scrapping also supports a positive supply outlook. Between 2025 and 2028, we expect around 114 million deadweight of newbuilds across Handy to VLCC segments. Over the same period, potential scrapping could approximately be around 167 million deadweight based on typical scrapping ages. Looking further ahead, an additional 87 million deadweight could exit the fleet between 2029 and '30-'31. It is important to note that these estimates do not account for differences in utilization between newbuilds and older vessels. Slide 16. Inventory levels are an important indicator within the product tanker market. European diesel inventories have seen significant draws in 2025. With the winter season approaching, Europe will look to replenish inventory. The end of refinery turnarounds in the U.S. Gulf, Far East and Middle East during November will free up additional export capacity to support the supply. As I'll explain in later slides, it's also worth noting that South America will rely on increased North American supply over the next two quarters, leaving the Eastern Hemisphere to cover the European import shortfall. This dynamic is expected to drive higher volumes and longer tonne-miles. Slide 17. With continued drawdowns and refinery turnarounds, refinery margins have been on the rise in 2025. This typically correlates with higher earnings, further supporting the underlying market strength over the first quarter of 2026. Slide 18. The longevity of strong refining margins and resulting transportation demand is set to continue in Q1 2026. Fundamentally, European supply and rising transportation volumes depends on sufficient oil availability and the pricing structure that supports underlying arbitrages. Forward arbitrage from the U.S. Gulf and the East to Europe, is trending high for the remainder of 2025 into 2026. This supports forward trading volumes and underscores the real and sustained demand from Europe to cover for the winter season and replenish low inventories. Slide 19. Geopolitical tensions continue to influence the product tanker market. Following Ukraine's drone strikes on Russian refineries, clean petroleum product exports from Russia have declined significantly, while crude exports have correspondingly increased. This leads Russia's ability to supply clean petroleum products to South America and West Africa, prompting substitute barrels from the U.S. Gulf and Europe. These shifts drive higher tonne-miles on the non-sanctioned fleet, pushing the overall utilization. We're already seeing a decline in South American imports from Russia, accompanied by corresponding increases in imports from the U.S. Gulf. Moving on to Slide 20. Further on geopolitical tensions. In early Q4, the Trump administration facilitated a piece plan between Israel and Hamas, aimed at ending hostilities. While this could eventually lead to a gradual reopening of the Red Sea, we expect the process to take time. Our analysis suggests that the potential impact of a Red Sea reopening may be less than initially anticipated. If Red Sea transits return to normal, Suez canal traffic could regain the equivalent of roughly 180 MRs in transportation demand. While tonnage demand loss via the Cape of Good Hope are projected at around 230 MRs. The net effect on total arbitrage transportation volumes, while the Suez canal is about 43 MR equivalents. This implies a minimal negative market impact of approximately 6 MR units. Moving on to the next slide, where Perry, our CFO, now will bring you through the financial developments.
Perry Van Echtelt: Thanks, Soren. If we move to next page, 22. We indeed had another strong quarter as market conditions strengthened, fueled by higher trading activity and firm refinery margins. For Q3, we reported adjusted EBITDA of $150.5 million and a net profit of $91.5 million, which is our best quarterly results of 2025 so far. Our Fee-based business in the pools remained steady, contributing $7.1 million in fee income. And we maintained strong profitability metrics with an annualized return on equity of 15.9% and a return on invested capital of 12.8%. Moving on to the operating summary. We continue to generate strong operating cash flows, supported by a boost balance sheet and further declining breakeven levels. For the quarter, TCE income stood at $247 million with an average TCE of $26,040 per day. A meaningful portion of our fleet was built in 2015 and 2016, leading to a relatively high number of drydockings. And this quarter's performance also reflected the impact of several vessels undergoing drydocking. We recorded approximately 740 off-hire days in Q3, which is about 230 days above our initial expectations, primarily due to drydock glass and two vessels undergoing special cargo tank recoating. Across the first three quarters of '25, we have drydocked 32 vessels and expect to complete another 14 in the fourth quarter. While we still have several vessels scheduled for drydocking in the coming quarters, we do expect off-hire days to decline and taper down to around 440 in the fourth quarter. This positions us well for stronger utilization and earnings momentum heading into 2016. And turning to the balance sheet. We made significant progress this quarter. Our net LTV ratio based on our 100% owned fleet improved from 24.1% at the end of Q2 to 20.5%, supported by strong operational cash flows. Across 2025, we have also reduced our weighted average debt margins by more than 50 basis points, further strengthening our financial position by securing very attractive pricing on new financings. During the quarter, we have used $100 million of our excess liquidity alongside debt refinancing to repurchase 14 vessels that are under -- that were under sale and leasebacks. Vessel market values remained stable, showing a slight uptick from the previous quarter. On the right, you can see our liquidity position. Following the signing of our $750 million revolving credit facility, we ended the quarter with over $630 million in total available liquidity, consisting of around $130 million in cash and $500 million in undrawn financing capacity. As mentioned earlier, we recently announced the agreement to acquire 14.45% of TORM shares. And let me clarify how this will be reflected in our net LTV calculation upon effectiveness of that transaction. In addition to broker valuations for our wholly owned vessels, we will incorporate the lower of the investments market value or its purchase price. This ensures that the investment is reflected in our leverage metric, while also maintaining the integrity of our dividend policy, which is designed to balance our capital structure and our asset strength. Looking ahead, our solid financial position and effective cost structure supports an operational cash flow breakeven of below $13,000 per day for 2026. Given the current market environment, this positions us very well for another year of strong earnings. If we look for that on the next page. So we look towards conclusion of Q4, as of the 14th of November, we have secured 71% of our Q4 earnings days at an average rate of $25,610 per day. For 2026, we already have 15% of our earning days covered at an average rate of $24,506 per day, giving us a strong head start to the year ahead. If you look at that based on the Q4 covered rates and also the analyst consensus, 2025 points toward net profits for the full year in the range of $300 million to $350 million. This positions us exceptionally well as we also move into 2026. And Mikael, over to you for the next few slides.
Mikael Opstun Skov: Thank you for this. And let me now turn to Hafnia sustainability strategy and goals, and we are on Slide 27. As a global leader in the product tanker segment, we do recognize the critical role we play in shaping the maritime ecosystem. We hold ourselves to the highest operational and environmental standards with a clear commitment to creating a positive difference. Across the value chain, we are deepening collaboration with strategic partners, regulators and key international bodies to codevelop solutions to the challenges our industry faces. These efforts ensure that Hafnia remains firmly positioned at the forefront of the energy transition, not just adapting, but leading the way forward. Moving to Slide 28. Here, we showcased some of the strategic initiatives we've been working on to strengthen our competitive edge. Take Seascale Energy, for example, this joint venture creates powerful synergies with our existing operations and enables us to deliver reliable, scalable solutions across the maritime sector. In parallel, we're advancing our technological capabilities through our strategic investment in Complexio. Complexio leverages both structured and unstructured data to create a detailed operational landscape, enabling automation of recurring processes such as chartering, ship clearance, finance management and contract negotiation. These initiatives reinforce Hafnia's position at the forefront of innovation in the maritime sector, ensuring we remain agile, efficient and future-ready. Slide 29. Looking ahead, Hafnia remains well positioned for the remainder of the year. With winter approaching, seasonal demand is expected to support the oil market, driving higher earnings through increased tonnes-miles activity and strong operational dynamics. I'm encouraged by the underlying market strength and proud that we've delivered solid results while maintaining our 80% dividend payout ratio. We will continue to exercise disciplined financial management and pursue strategic opportunities that enhance our competitive position. Before concluding, I want to stress an important concern. As Ukrainian ceasefire discussions progress, policymakers and the shipping industry must ensure the vessels from the dark fleet often operating with poor safety standards are not allowed back into mainstream trade. Doing so would undermine regulatory trust and create serious risks to people and the environment. With that, this concludes our presentation. I'd now like to open the call for questions.
Operator: [Operator Instructions] Frode, I see you're having hand up? Can you please unmute yourself?
Frode Morkedal: So the first question is on this coverage slide you had, I noticed you had booked 67% of the LR2 fleet in 2026. So maybe you can shed some color on that? Have you booked -- what type of contracts are you booked and the duration, I see the rate there, like $30,000 a day basically.
Søren Winther: Hi, Frode, Soren here. Yes, that's correct that we, during Q3 and into Q4, have covered more of our LR2 fleet for three years. You're talking four ships, where three with 3-year deals and one is a 2-year deal, about the numbers you're talking about.
Frode Morkedal: Okay. That's good. I guess coming back to Mikael's point in his final remarks. I want to ask about this Russian, see the key export decline we've seen, right? So you showed it in the slides, exports are down, probably been good for U.S. more liftings, right? Have you also seen like an offsetting effect from, let's say, shadow fleet coming back, let's say, drifting back into the conventional fleet. What's your data showing?
Mikael Opstun Skov: Maybe more on the DPP side than on the actual CPP side. So probably on this DPP, I'd say that the supply into South America has gone back to the conventional tonnage, adding a little bit more tonne-mile there, whereby on the DPP trading side, especially on Aframax', you have seen some more influx of not sanction tonnage, of course, but the grey fleet entering into an already busy Aframax market on the dirty trade.
Frode Morkedal: For CPP, it's a positive result.
Mikael Opstun Skov: Yes, you can say it certainly feels like a positive for now, and we don't seem to find a lot of competition from the dark fleet yet, at least.
Operator: Omar, I can see you have your hand up? Can you unmute yourself, please?
Omar Nokta: Thanks for the update. I did have just maybe a couple of questions and perhaps maybe first, just on the -- do you mind revisiting that Red Sea slide? I thought that was quite interesting. You mentioned the opening would perhaps not be as significant to fleet supply as initially thought. And just want to get a sense of if you wouldn't mind just explaining a bit more how you got to those figures, especially that part about the 43 cross hemisphere regains.
Søren Winther: Yes. Soren again, here. So the analysis we have done is based on historic data on a general note. So if you take pre-battle [indiscernible] closing volumes and anticipate that those volumes would come back the market if Suez reopened in the sense that Middle East will then be the more competitive supplier into Northwest Europe and Mediterranean again in the event of a reopening. So what you're looking at is that it's taking the volumes that you would regain out of Suez or trading by Suez again, and we have offset the full gains that we have had for trading via the Cape of Good Hope and added the volume to come back to normal averages of East to West volumes, which then boils down to a limited impact on the market. What you can see on that slide is what is that going to do to trade flows on a general note. Is that going to be a positive for the U.S. Gulf, which has been a big driver over Q3 for sure. And if you have more supply out of the Middle East, that's probably positive for the LR1s and LR2s, whereby there will be other trade flows out of the U.S. gold for the MRs and probably more tuned towards the South American region.
Omar Nokta: Okay. That's quite helpful. And maybe just touching on that point in terms of just transiting and what compels that you or maybe the industry do want to return. Obviously, I think a big part of it is perhaps insurance premiums. Have you seen any kind of shift or change in insurance costs, what's being quoted to transit in the region?
Søren Winther: Not really yet, the big -- well, the big, I mean, at least the well-known owners on the clean side is not yet transiting. So there's not a lot of movement there. You have seen other parts of the lead, for instance, some Middle Eastern traders, that is sending their tonnage through the Red Sea. So I think you would see a mild increase in the volume that actually goes through the Red Sea today. But on an insurance and on a general willingness to try it out, not so much, to be honest.
Operator: So Clement, can you unmute yourself, please?
Unknown Analyst: I wanted to start by asking about the exercise of purchase options you pursued on vessels under sale and lease back. Could you talk a bit about the effect you expect this to have on your all-in cash breakeven for the vessels involved?
Perry Van Echtelt: Hi, Clement. Good question. It's Perry here. I don't have the effect on the specific vessels. We purchased -- we had quite good and regular frequent purchase options on those leases. So as part of our refinancing, we took them out across the board with all the refinancings that we've done since the summer, that has improved our cash flow breakeven quite significantly. I think for next year, that will bring us somewhere below the $13,000 a day. But we don't have anything for on a per vessel basis. It's also less relevant.
Unknown Analyst: Makes sense. The color is still helpful. And you've continued divesting the older end of the fleet in recent months. How are you thinking about potential fleet renewal growth at current pricing? And secondly, should we consider the acquisition of TORM shares, likes that kind of fleet expansion, or how do you view it?
Søren Winther: Hi, it's Soren, again. You can say that our strategy over the past couple of years on the newbuild purchase side has always been linked to bigger projects, will cover somewhat forward. Perry -- and looking at newbuild prices now, that will probably be our strategy still. But -- well, yes, it's I guess, it all boils down to a better market than this, I think we are probably not in a situation now where we would look at a big newbuild program at current levels.
Thomas Andersen: And I'm actually not seeing any more raise hands, actually, so Omar -- so Clement, if you can take your hands down if you finished, and then Omar, can you unmute yourself?
Omar Nokta: Yes, can you hear me?
Operator: Yes.
Mikael Opstun Skov: Yes.
Omar Nokta: Just wanted a follow-up on just a net LTV for half year at 3Q, obviously, a very nice drop from 24% to 20%. Obviously, precise like quarter over quarter. It seems that you're pace to perhaps get below 20% at the end of the fourth quarter, which, I guess, presumably triggers you back into that 90% payout threshold. Do you forecast that happening, or do you take into account the pro forma acquisition of the TORM stake at that point?
Perry Van Echtelt: Yes. Hi, Omar, it's Perry. Good question. Net LTV at the end of Q3 is 20.5%. As we always do, we are consistent with our dividend policy and our dividend payout ratio. So of course, that would depend on where values are in the quarter. As we've also announced earlier in September that when we include -- once that deal closes, we include TORM stake at market value and purchase price, low of the both and then also including the debt. So that obviously will bring the net LTV all in all some -- probably somewhere in the middle of that range.
Operator: I don't see any more raised hands. So I'm actually going to move on to the chats and the Q&A. So we have a question in our chat, which I will direct to Perry, regarding whether we plan on purchasing further shares in TORM?
Perry Van Echtelt: Yes, that's not so much to come down. We've mentioned also in the earnings release that there's one more condition outstanding for the close of the stake that we've announced for 40.45%, and can't really comment or add on questions or suggestion of further purchases.
Operator: Moving on to the next question. So we have someone asking that we mentioned in our detailed release the pool earnings for the week beginning 17th of November 2025. Is it only the week's earnings, or is it from the first of October to the 17th of November 2025?
Thomas Andersen: Thank you for the question. That's for the week of -- starting November 17, so that week's earnings only.
Operator: Thank you, Thomas. I'm just giving it a few more seconds to see if we receive anymore raise hands or any more questions in the Q&A or the chat. All right. Well, thank you, everyone. So today, we've come to the end of today's presentation. So thank you for attending Hafnia's third quarter to 2025 financial results conference call. You can find more information available on our website at www.hafnia.com. Thank you, everyone.